Operator: "
Michael Cooper: "
Unknown Executive: "
Sairam Srinivas: " Cormark Securities Inc., Research Division
Sam Damiani: " TD Cowen, Research Division
Operator: Good morning, ladies and gentlemen. Welcome to the Dream Impact Trust Third Quarter Conference Call for Tuesday, November 4, 2025. Please advise the participants are in listen only mode and the conference is being recorded. [Operator Instructions] During this call, management of Dream Impact Trust may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond the Trust's control that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in the Trust's filings with the securities regulators, including its final long-form prospectus. These filings are also available on Dream Impact Trust's website at www.dreamimpacttrust.ca. Your host for today will be Mr. Michael Cooper, Portfolio Manager. Mr. Cooper, please proceed.
Michael Cooper: Thank you, operator, and welcome to the listeners on our third quarter conference call. We're really quite pleased with how the third quarter has gone. We've made quite a bit of progress since our last call and our last results in August. In Ontario, and particularly in Toronto, the housing market is quite difficult. And we found some really innovative ways to deal with it and add value by moving projects forward. Now the difficulty, just to be clear, is really from the last decade of poor economic performance in Canada, increasing cost to build both in the -- from the private sector as well as from governments and the limited ability of residents in Toronto to earn sufficient income to afford the economic rent necessary to fund new developments. Dream is focused on attacking the affordability issues by partnering with governments to lower our costs with low interest loans and waivers of development charges. while including affordable apartments in our projects. We're providing a lot more affordable. So the savings we're achieving are getting passed on to our tenants in the portion of the building that's discounted. While we're one of the original pioneers of these public-private partnerships, they've become very common in our industry recently. Our experience and track record have supported our plans to build viable purpose-built rental projects on our lands, even when condominiums are not feasible and pure market apartment returns are too low to justify the risk. We await tonight important budget to see the specific housing initiatives to support providing additional housing and specifically affordable housing. The budget is also important to see how our government create an environment for new investments to grow the economy. And we're also waiting to see what the bond markets do tomorrow morning after they digest the budget. It's great to see that the government sees the problems we are facing and admits them. The steps they take next will have a big impact across the country and also have a significant impact on the short-term success of our business. Even prior to the introduction of these policies, Impact has made tremendous progress. I just want to go over a few of the examples of what we've achieved in the last 90 days. Our value-add apartments have been increasing their net operating income. We've had increased turnover and with turnover, we get to move to market rent. It's moving the low rents to higher rents that's driving the net operating income, even though market rents are a little lower than they were at the peak. For our purpose-built rental, we've been very pleased to see significant increases in leasing over the last while, and 2 of our buildings are approaching stabilization. These 2 buildings are funded with CMHC ACLP financing. And once we achieve stabilization, provided we have net operating income above that meets or exceeds our pro forma, the loans will become nonrecourse, which is a significant accomplishment, and we're looking forward to two of the buildings hitting that soon. In addition, we made a tremendous amount of progress at 49 Ontario. We're currently starting some of the demolition of the office building. It will be fully underway within 2 weeks. So construction has started, and we expect the CMHC debt to be finalized and advanced within the next 30 to 90 days. This will solidify $75 million of equity in the project or almost $4 per unit. And as the project progresses, that $4 per unit represented by 49 Ontario could grow to 7 with the profit of the development. With construction costs declining and the way of development charges, the returns are relatively attractive as the savings have offset the decline in rent. So we're very excited to get that project going. In addition, at Quayside, we're advancing with milestones being achieved weekly. We anticipate that by year-end, the only milestone left prior to starting construction will be the finalization of the CMHC financing and the construction should start in the second half of next year. Again, this will lock in the equity value in the land, and it should be another exciting investment with decent returns. We said one of our goals for this year was to decrease our land load significantly. Our goal is to get to $140 million of land loans. That would basically be 2 of our big projects, Brightwater Zibi plus land loans at Forma West, Victory Silos, and we want to get rid of Scarborough Junction. We're a little bit behind on that, but we're trending to where we want to be. Brightwater has had quite a few closings so far. We've got another 200 to go. We're very pleased with purchasers' closing ability. So that's pretty exciting. We're generating a fair amount of cash out of that. And we're also getting ready to start the next block, which had sales from 1.5 years ago, and that's a 220-unit condo unit building, and we expect that construction to start within the next couple of months. Otherwise, any new developments on our lands have been delayed, which is what we expected for the last couple of years. At Zibi, we are quite pleased with the leasing of the residential buildings and the progress at Odenak. We are approaching the commencement of Block 1 in Gatineau, which is the last building that we had budgeted to start this year, although, again, that's likely to be late into next year. As I was saying, at Brightwater and Zibi, we are developing the units slower because of the softness in the market, but we're making progress. We've also made progress continuing to renew debt as it expires. We also extended the Fairfax debenture out to 2031. And we've entered into a $15 million loan with Dream and are looking to increase that facility prior to year-end as we establish what the liquidity requirements are. Over the next few years, we expect to sell a similar amount of properties we have in the last few years. And with the Dream loan, we are well positioned to manage our liquidity over the next few years. Based on our current plan, we expect to have about 90% of our portfolio to be apartments by 2030 with a best-in-class portfolio with low-cost debt, stabilized with sufficient cash flow to meet all of our obligations and with some cash flow left over. We're aware that the public markets show little interesting impact currently. However, we have excellent assets, which we are making more productive at every level. At this point, I'd like to ask for Derrick to do his inaugural conference call address.
Unknown Executive: Thank you, Michael, and good morning, everyone. In Q3 2025, the Trust recognized a net loss of $10.3 million compared to a net loss of $7.6 million in the prior year quarter. This change was largely driven by deferred tax recoveries and condo occupancies at Brightwater in the prior year quarter as well as respective fair value adjustments in each period. This was partially offset by earnings from our multifamily assets in lease-up. This includes Voda at Zibi as well as Birch House and Maple House, both at Canary Landing. For the recurring income segment, same-property NOI was $1.7 million, consistent with the prior year. Occupancy remained stable at 95%. With regards to our assets in lease-up, we are pleased with the increase in leasing performance over the third quarter. Overall, these assets are approximately 9% leased, up from 75% last quarter. We anticipate these assets will continue to contribute to NOI as they reach stabilization. For the Development segment, we reported a net loss of $1.4 million compared to a nominal net loss in the prior year. Results are not directly comparable as the prior year included occupancies at Brightwater and certain fair value adjustments. During Q3 2025, approximately 9% of the 106 unit block at Brightwater Town closed. In combination with Brightwater 1 and 2, we have completed closings for nearly 400 units over the past 12 months. The next block at Brightwater is Mason, which is expected to close by year-end. Construction is progressing at Cherry House and Odenak. Combined, these projects are expected to bring nearly 1,500 units to market over the next 2 years. We are advancing on construction at 49 Ontario and making progress with Quayside. These are significant projects, and overall, we expect to have positive cash flow once 49 Ontario is completed and stronger cash flows once Quayside is completed, which we anticipate will be in approximately 2030. We have made good progress working through our near and medium-term debt maturities. During the quarter, we reduced our outstanding debt position by over $119 million. This included extensions for $84 million of land loans for Zibi and Brightwater without a repayment. Additionally, the construction loan for Brightwater Town was repaid with proceeds from condo closings. We are working with our partners and lenders to address the remaining debt maturities for this year and into 2026. As noted in our August update, we expected to reduce land loads by $140 million this year. We plan on repaying the land loan at 49 Ontario within the next 90 days and have paid off $7 million in land loans related to Zibi. The remainder is largely related to a project where we reduced the debt by 1/3 or approximately $15 million and are working with our partners to repay the remaining debt. We are generally on target, but it may take a little bit longer than we had estimated. As at September 30, the Trust had cash on hand of $7.6 million. As previously announced, we have entered into an agreement to extend our 2026 convertible debentures totaling $30 million by 5 years. The extension is subject to unitholder approval and customary closing conditions. Subsequent to the quarter, the Trust entered into an agreement with Dream up to $15 million in financing with a 5-year term. The financing agreement demonstrates Dream's continued support of the trust and provides it with increased financial flexibility as we work through our upcoming developments and stabilize our completed assets. I will now turn it back to Michael.
Michael Cooper: Thanks, Derrick. The stock price has definitely been under a lot of pressure, and it's been very disappointing. So it's hard to explain that we have some of the industry-leading projects that are advancing very well that are very exciting that look to be very profitable endeavors. The focus obviously is working on the balance sheet and the liquidity. And I think we've got ways to address that, that we're quite confident about. And we're also focusing on growing our rental properties, the value of our rental properties through increase in net operating income for the value-add properties, achieving stabilization for our completed purpose-built rental and for developing the land into new developments for Odenak, 49 Ontario and Quayside and also reducing the debt on lands or selling some of the lands. So that we shore up value and reduce risk. But I think that the message that's been so hard to communicate is the work that we're doing is excellent projects with tremendous support from governments that will realize a lot of value. With that, we'd be happy to answer any questions at this time.
Operator: [Operator Instructions] Your first question comes from Sairam Srinivas with Cormark Securities.
Sairam Srinivas: Michael, clearly, there's a lot that's gone on this quarter in terms of progress on leasing all the assets that were under development, and that's a great thing. When you kind of look at occupancy quarter-on-quarter, that's reflected. But when you look at rents, average rents are slightly down quarter-over-quarter. Would that be a function of any incentives you're seeing in the leasing environment? Or is it just generally that leasing is weak? And how does that compare to your point economic rents and what you would expect from these projects?
Michael Cooper: So I think, firstly, on the value-add projects, we don't we don't usually have incentives. It's really on the purpose-built rental, which is common to have incentives. With these buildings, you finish a building that's 200 to 700 units, and you want to fill them up as quickly as you can. So use incentives to get the first tenants in. On top of that, what we've had is a lot of condo deliveries, which are effectively competition for new apartments. So we think this is near the bottom. There's going to continue to be more condo deliveries next year. The interesting thing is there's less new apartments being started. So what we're seeing is tons of apartments being delivered -- tons of condos being delivered this year that have put into the rental market. There's going to be a fair amount next year. And then I think what we're going to start to see is a reduction in the number of condos that are being rented as people start to buy them up for their own use at prices significantly below what they were sold for initially. So we think there's kind of a temporary jump in supply that's going to start to moderate. The new supply is going to stop coming from condos and apartments are even slower starting. So we think it's just a lot of turbulence right now. In our numbers, like on the new projects, we've probably reduced our expected rents by about 15% from where they might have been 1.5 years ago. But as I mentioned, construction costs have come in. Interest rates are reasonable. And for Quayside and Ontario, we've had development charge waivers. So even at that much lower rent, the returns are meaningful and in line with where we had hoped. The interesting thing is as we -- like when we look forward from these lower rents, we are not expecting any jumps in rent. We have a relatively historic average growth in rents from where they are now, where they're under a little bit of pressure. Does that help?
Sairam Srinivas: That does, Michael. When you probably translate that into SPNOI growth, average rents overall in the multifamily same-property portfolio were up 7% year-over-year. Occupancy looks stable, but NOI seems to have actually been unchanged almost year-over-year. Can you kind of speak to the operational expenses perhaps on those assets?
Unknown Executive: It's Derrick. So on those ones, what you'll see year-over-year is that there's higher operating expenses, and this is largely due to the timing of property taxes. So this quarter, we had property -- we received those and those, I think, for 3 months. So I think you'll see a slight decrease. But excluding those, I think it would have gone up instead of going down by about $100,000, it's going to go up by $200,000. So I think we do expect to see that to continue to grow going forward outside of the property tax items that were received during the quarter.
Sairam Srinivas: That's great, Derrick. And perhaps, actually, while I have you, when you think about the financing stack and when you compare the projects that are currently coming up after leasing, the base of my question is that when we look 12 to 24 months from now and hopefully, when the market recovers, you would see these assets stabilize and start generating a more stabilized NOI. But when you look at financing, would you say the current level of financing is more temporary and there are some adjustments that could happen in terms of lower finance costs for these developments?
Michael Cooper: So you're asking on the renewals, we would expect Well, firstly, on a lot of the projects, we've got longer-term debt. So the first project that we have coming up is around 2029, 2030 for the new builds. And then some of the debt is going to be in 2034, 2036 kind of stuff. On the value-add, we're probably -- we put debt on at a very good time. As that comes up, it will be up a little bit higher.
Sairam Srinivas: All right. That makes sense, Michael. And my last question is on Brightwater. As far as the sales go, Derrik, can you run me through the revenue recognition of it? Is it recognized in Q3? Or do you expect more to come in Q4?
Unknown Executive: It would be in Q4. So the occupancies for Brightwater, the others happened in Q2. In Q3, we had closings on that. And then in Q4, we had another closing, which will be the Mason. And just to be clear, we recognize the profit during occupancy, not at closing. So what Gary is referring to is when we have closings coming up, we may have already recognized that profit, but we're going to get the cash and pay down debt, which is also important. So we're closing about 200 units, but I think we've already recognized that profit, but we're going to have some other units closed at occupying, which will provide a little bit more revenue recognition. That's right. So there's no revenue going to be in Q4. It will be all cash related to the closing.
Operator: [Operator Instructions] Your next question comes from the line of Sam Damiani with TD Cowen.
Sam Damiani: Just on the disposition strategy, can you give a little bit of color on -- in terms of what you expect to see, I guess, over the next quarter or 2 in terms of dispositions?
Michael Cooper: Yes, that's a pretty short time frame. I think over the next quarter or 2, we're going to sell the 10% of 49 Ontario. We hope to have a contract to sell the excess land at 49 Ontario. And don't hold me to whether it's the next quarter or 2 or the quarter after that. And I think we're looking at one commercial property that there's some action on, but I doubt that will be in the next quarter or 2. So I think we've got some transactions in the second half of 2026 for the most part.
Sam Damiani: And then beyond that, Michael, you're still looking at selling more in the fullness of time?
Michael Cooper: Yes. I think that we're probably going to want to like lighten up on the commercial properties. And maybe I wasn't clear. We're clearly going to as close to an all apartment business as we can. So we expect to see that happen over the time. We've got some condos that will be finishing. We've got some land. But generally, I think we're going to try to focus really on the apartments.
Sam Damiani: Okay. Helpful. And just on the loan from Dream, I mean, how much bigger could that get beyond the $15 million?
Michael Cooper: It's a great question. I mean we thought about putting it in the press release and decided not to. So I'm just thinking out loud, I probably wouldn't say it here either. But what I would say is we have a very busy November and December on a lot of fronts that is going to have an effect on how much liquidity is required. So it could vary by $10 million or $20 million based on some of the things that happened this fall. But we'll provide more details. I mean, obviously, one of the issues is Dream Unlimited has their Board meeting after Dream Impact Trust. So we've got to discuss it with them, and then we're going to size it as we get a little bit more information.
Sam Damiani: And then the plans to ultimately repay that loan would come from asset sales or what would be the source of funds to repay those loans?
Michael Cooper: That's another great question. The concept is to be a 5-year loan. I think that Dream's view is to make sure that they don't have the money at risk to get a fair return, but really to support the trust. And I think that the view would be to look at the business once there's a completion of 49 Ontario and Quayside is mostly finished. But they're going to represent a tremendous amount of the value of this business. So we'll take a look at that in 2030 and decide whether that capital gets repaid, stayed outstanding as debt or some type of potential equity, but that's way in the future. All I'm trying to get at is it's a very supportive lender who will be looking out to make sure that the best outcome possible for Dream Unlimited and Dream Impact Trust. And all I'm saying there, Sam, is you don't have to look at exactly like where the proceeds are going to come from. We're working very hard to have like 90% apartments, have decent free cash flow. And at that point, we'll take a look and say, okay, what should we be doing with the company now that it's really -- a lot of the risk is diminished. We'll look at the balance sheet, and we'll kind of decide where do we go from here and Dream would look at what to do with the debt at that time. The last point would be that the loan will be a 5-year loan on paper, and that is the actual rights and obligations. And the other part is just saying that that's how the 2 parties have conducted themselves in the past and likely to conduct themselves in the future. Does that make sense? Legally, it to be a 5-year loan. Sorry, operator.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Cooper for any closing remarks.
Michael Cooper: Thank you, operator. Thank you for listening. And I don't have any closing comments. I sort of put them in my opening comments. Thank you, everybody. Derrick and I are available all the time. Give us a shout if you want to discuss any further.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.